Operator: Greetings, and welcome to the ArcBest Third Quarter 2023 Earnings Conference Call. During the presentation, all participants will be in a listen-only mode. Afterwards, we will conduct a question-and-answer session. [Operator Instructions] As a reminder, this conference is being recorded Friday, October 27, 2023. I would now like to turn the conference over to Mr. David Humphrey, Vice President of Investor Relations. Please go ahead.
David Humphrey: Thank you for joining us. Today, we'll provide an update on our business, walk you through the details of our third quarter 2023 results, and then answer some questions. Joining me today for the prepared remarks are Judy McReynolds, Chairman, President and CEO, ArcBest; Matt Beasley, Chief Financial Officer and Treasurer; Seth Runser, President of ABF Freight; and Steven Leonard, Chief Commercial Officer and President of Asset-light Logistics. In addition Dennis Anderson, Chief Strategy Officer; and Christopher Adkins, Vice President of Yield Strategy & Management are available to answer questions. To help you better understand our best and our results, some forward-looking statements could be made. Forward-looking statements, by their very nature are subject to uncertainties and risk. For more complete discussion of factors that can affect our best future results. Please refer to the forward-looking statements section of our earnings press release and our most recent SEC public filings. To provide meaningful comparisons certain information discussed in this call includes non-GAAP financial measures as outlined and described in the tables in our earnings press release. Reconciliations of the GAAP financial measures to the related non-GAAP measures discussed in this call are also provided in the Additional Information section of the presentation slides. There is also a conference called slide deck that can be found on the ArcBest website arcb.com in exhibit 99.3, of the 8-K that was filed earlier this morning. Now, I will turn the call over to Judy for some opening comments.
Judy McReynolds: Thank you, David, and good morning. Thank you for joining us. We've been celebrating ArcBest's 100th anniversary this year, an extraordinary milestone, which is a testament to the ArcBest team and the strength of our customer focused strategy. We work every day to be trusted advisors to our customers, which includes some of the world's largest and most recognizable brands. With ArcBest's full suite of shipping and logistics solutions, our work is critical to our customers' businesses and we don't take that lightly. We constantly work to see the world through their eyes and look ahead to help them anticipate and respond to market changes and disruptions. In fact, we view our close, collaborative and highly strategic customer relationships as an important competitive differentiator. While the overall logistics market remained soft in the third quarter, we benefited from our ability to help customers navigate market disruption. In this time of increased uncertainty, I saw the strength of our strategy firsthand as we provided integrated solutions, which our customers relied on, to ensure their goods continued moving through the global supply chain. We reacted with agility and I'm encouraged by the conversations we've had with customers. They reiterated that our flexible capacity and logistics expertise has met and exceeded their needs. We significantly improved our published shipment levels and pricing in our Asset-Based business on a sequential basis and our managed transportation solution in our Asset-Light business saw shipment count levels reach an all time high. Our relationships with our customers and commitment to innovation have been key drivers in our revenue more than tripling and profitability significantly improving over the last decade, and we're not done. We continue to invest in facilities, technology and innovation, and our team. These key areas will accelerate growth and unlock additional value moving forward. First, we have a strong footprint of facilities today, which allows us to service our customers efficiently. We continue to invest in further expansion and see the opportunity to accelerate our facility plan in the current LTL real estate environment. Second, our deep commitment to technology and innovation has enabled us to transform our company and we continue to pursue a robust set of initiatives. For example, earlier this year, we deployed a generative AI tool to support an internal team that performs quality audits of our customer service interactions. This team removes friction points and improves hundreds of processes every year and this new tool quickly provides key insights to further advance these efforts. In addition, our ABS city route optimization project has leveraged AI to reduce mileage and decrease fuel consumption, which supports a more sustainable future. Looking ahead, we will continue developing and investing in solutions to support best-in-class service to our customers and drive business efficiencies. Lastly, our values driven culture is deeply rooted in creativity, integrity, collaboration, growth, excellence and wellness. We are committed to investing in our people and living out our core values every day. Before I hand the call over to Matt, I'd like to offer a few observations about what we're seeing in each of our business segments. In our Asset-Based segment, the current LTL market dynamics are contributing to improved trends. Our team continues to respond nimbly to evolving market dynamics in real time, pivoting quickly to fill our network in the most profitable way. In our Asset-Light business, while we are growing customers and shipment volumes, we are not immune to market conditions and continue to work to find efficiencies. We have managed down costs and our team has done a great job of growing our customer base and shipment count. Our ability to help customers navigate market disruption over the past few months has demonstrated the strength of our highly experienced team and our broad suite of integrated logistics solutions. We were there for our customers to help them think holistically about their supply chains, while providing a service offering not available from pure play operators. And we continue to see opportunities to expand our relationships with existing customers. And now, I will turn it over to Matt to take you through the quarter in greater detail.
Matt Beasley: Thank you, Judy, and good morning, everyone. I will provide an overview of the quarter and give an update on our balance sheet and capital deployment plans. Consolidated revenue from continuing operations was $1.1 billion for the quarter down 9% year-over-year. On an non-GAAP basis, consolidated operating income was $75 million, down 43% and adjusted third quarter earnings per diluted share was $2.31. While our consolidated results reflect a softer overall market than last year, we have benefited by having the right capacity options and expertise to serve customers during this period of market disruption and have also seen results from our cost savings and efficiency initiatives. In the Asset-Based business, revenue was $741 million, down 4% year-over-year on a daily basis, and non-GAAP operating income was $83 million. Overall, pricing remains rational, and has been strengthened by recent market events. For asset-based customer contract renewals and deferred pricing agreements negotiated during the third quarter, we secured a 4% average increase. The benefit of our costs and efficiency efforts in this segment included a reduction in purchased transportation, cartage and equipment rental costs. The third quarter non-GAAP asset-based operating ratio of 88.8% reflects a sequential improvement of 400 basis points compared to second quarter, which is particularly noteworthy because our new labor agreement added approximately 350 basis points of costs relative to second quarter. Excluding that increase, our sequential operating ratio improvement was approximately 750 basis points. That impressive result did not happened by accident, and I am proud of the way our team came together over the last few months to serve our customers during the time of market disruption, while remaining focused on cost and efficiency. I am also pleased to report that, we have carried this momentum into the fourth quarter. Excluding periods impacted by the pandemic, the average sequential change in ArcBest asset-based operating ratio from the third quarter to fourth quarter during the prior 10 years has been an increase of 100 to 300 basis points. Despite this historical trend, after considering the impacts of the market disruption, recent commercial successes, a general rate increase and cost reduction efforts, the asset-based operating ratio is expected to modestly decrease from third quarter 2023 to fourth quarter 2023. Transitioning to Asset-Light, third quarter daily revenue decreased 17% year-over-year. This was primarily due to lower revenue per shipment. The segment had a non-GAAP operating loss for the quarter of $4 million. We provided preliminary Asset-Light business trends for October 2023 in the Form 8-K exhibit to the press release filed this morning. And operating statistics in that business continue to reflect a softer market compared to last year. Net capital expenditures totaled for $155 million for the first nine months of the year, and we currently expect net capital expenditures in the range of $270 million to $285 million for the full year, which is slightly lower than our previous estimate last quarter. Our Class 8 tractor orders remain in place and we currently expect to receive all ordered road tractors by the end of the year. ArcBest cash balance and total liquidity remained at strong levels. As of the end of the third quarter, we had a net cash balance of $98 million, an improvement of $36 million since the end of last year. Total liquidity stands at approximately $581 million, and despite rising rates, the composite interest rate on ArcBest's outstanding debt at the end of the recent quarter was 3.3%. Our solid financial position and strong balance sheet position us well for the future. Our capital allocation strategy includes organic capital investment and new equipment purchases, real estate additions and upgrades, and technology investments, which will enable us to continue serving our customers with excellence now and into the future. We are monitoring the market for external growth opportunities to enhance our business and we are returning capital to shareholders, while targeting investment grade credit metrics. So far this year through yesterday, our settled share repurchases and dividends paid have returned approximately $86 million of capital to shareholders. Based on those share repurchases, approximately $48 million remains available under the current repurchase authorization for future common stock purchases. In conclusion, I'm excited about our future. We are helping guide our customers through the current market with a century of experience under our belt. Our proven ability to excel across different cycles is a testament to our resilience and our strategy and our robust balance sheet stands out, especially when customers are in search of stability in uncertain times. Now, I'll turn the call over to Seth to discuss our Asset-Based business.
Seth Runser: Good morning. I am pleased to report ABF grew daily shipments during the quarter over 1% year-over-year, while aggressively managing costs and focusing on efficiency without limiting growth. With a large amount of capacity leaving the market, customers came to us to keep their freight moving. This helped in achieving a more optimal mix of freight in our network, which improved profitability. In short, we've been able to reduce costs while improving service. As Matt said, we have reduced costs in purchased transportation, cartage and rental equipment, and we continue to enhance dashboards for our leaders, which provide real time visibility to business and productivity levels. This enables our team to quickly and effectively take action to ensure we are using our resources in the most effective manner. As we enter our 101st year, we continue to transform ABF through innovation, investment and an intense focus on quality. For the past two years, we've been working to improve some foundational systems and processes. We've completed over a dozen initiatives to improve our operation and we have many more in progress. You can see the results of these efforts and the sequential improvement in our operating ratio but our continuous improvement journey is ongoing. We are a high quality carrier and that means our product must be high quality. I'm pleased with our progress, but we still have more work to do. In closing, I want to highlight our approach to managing our ship levels and optimizing our network. Our long history of using data to make decisions and the sheer amount of data we have enables us to optimize our business daily. And our levers of using dynamic pricing in UPAC to fill empty capacity are key strategic differentiators. I'm grateful for the collaboration between our teams in the third quarter, where we quickly adapted to the market to increase our mix of core business. Through our facility investments, we have added over 200 doors this year and plan to add more than 500 additional between now and the first quarter of 2025. Our focus remains on service, efficiency, and profitable growth and we're not slowing down. Now, I'll turn the call over to Steven.
Steven Leonard: Thanks, Seth, and good morning, everyone. In the Asset-Light business, truckload margins remained soft, but we grew shipments despite weak demand and even achieved record shipment levels for our managed transportation business as we help customers navigate market disruption, which is a testament to the strength of our solutions and deep customer relationships. As Matt mentioned, we've been aggressively managing cost we continue to look for ways to further align costs with business levels and improve efficiency. While market disruptions continue, our breadth of integrated solutions positions us well to serve customers. Our managed transportation within our using our managed transportation solution, we were able to help shippers who were impacted by the reduction in LTL capacity. We partnered with them to understand their supply chain needs and helped them avoid the capacity constraints others may have experienced. We offered creative solutions using multiple modes to keep our customers' supply chains moving, resulting in a better outcome for our customer. And as customers have seen significant disruptions in the market, our stability and financial strength are differentiators. Customers need a partner they can count on, and we are well positioned to meet their needs. Now back to Judy for some final thoughts.
Judy McReynolds: Thank you, Steven. Our success has been deeply tied to the ongoing pursuit of our mission to connect and positively impact the world through solving logistics challenges. We live this mission to the fullest this quarter as we navigated and successfully responded to industry disruptions. We are well positioned to understand and address customer needs with powerful capabilities and the deep expertise of a trusted team. As we look to the future, we are confident that this strong position and a keen focus on our three strategic pillars of growth, efficiency and innovation will enable us to accelerate from here. This concludes our prepared remarks and we'll now open the call up for questions.
David Humphrey: Okay, Frank. I think we're ready for some questions.
Operator: [Operator Instructions] Our first question comes from Ravi Shankar with Morgan Stanley. Please proceed.
Ravi Shankar: So when everybody in the space is looking at the volume and revenue opportunities, you guys crushed it on costs, which was truly remarkable to see. Can you just unpack that a little bit more? Was this just operating leverage from getting more density with more volumes coming into the network? Were these explicit cost actions that were in the pipeline for a while, are there more to come? I think the number one question in people's mind this morning is kind of how sustainable is this? So, I would love to get go there, please.
Judy McReynolds: Yes, thanks for the question, Ravi, and it's a good one. We saw the opportunity to better address our costs as we were adding people over the years of 2022 and 2021 and making sure, that we had them to proficient productivity levels and a good experience and that sort of thing. And we've always in the past used variable costs such as purchase transportation, cartage and rent equipment to help facilitate our growth needs. But as we were finalizing our labor deal, looking at the proficiency level of our people and just the backdrop of the economy and the opportunity set, we saw a better answer, and really got focused on reducing some of those variable costs and making sure that we had the right business mix as we were going into the third quarter.
Ravi Shankar: Great. And so, is this consider it to be like a onetime reset or do you think there's kind of more to come in the pipeline?
Judy McReynolds: Well, what I think is, we're always adjusting and we're wanting to make sure that we have the right resources serving the best business mix. And I think that the asset-based team does a great job of that along with working with our sales opportunities, and our yield managers. We really see this as a an ongoing effort to make sure that our resources that we are deploying are the most efficient and effective, while also just having a keen focus on serving our customers well.
Operator: Our next question comes from Jason Seidl with TD. Please proceed.
Jason Seidl: Thank you, operator, Judy and team, good morning, appreciate the time. Wanted to ask a quick question on some of the October trends. Did you guys see any benefit from the cyber attack at SDs? And then, if I look at cost real quickly, if you exclude labor, are you guys starting to see a little bit of a deterioration in sort of the inflationary cost environment?
Christopher Adkins: Hey, Jason, this is Christopher Atkins. I will kind of report on the cyber event as it relates to our business. We did see an influx of some of that business in the first couple of weeks of October. And largely that was from customers, existing customers of ABF that were able to help them during that time of disruption. Since then, that has largely gone back to the carrier that was handling that previously. But we are still even apart from that seeing substantial growth in our core business. As we have talked about, that business is still up 20% in October and compared to June of '23.
Jason Seidl: Okay. Alright. That's good color. And on the cost side?
Seth Runser: This is Seth. I would say on the cost side, we are starting to see some things normalize, but there is other areas like trailers for example where the cost is still inflated versus historical averages, but we are seeing some things start to normalize quite a bit on the cost side.
Judy McReynolds: Yes, I would, one, just recent conversation that I have been in. I think the insurance market they are pretty hardened right now. And so, we are working through the answer there. But that's going to be one that we are watching just to highlight it.
Operator: Our next question comes from Ken Hoexter with BofA. Please proceed.
Ken Hoexter: So just two questions. Shipments were up 4% year-over-year in October. Thoughts on your capacity availability now? How much can you handle the growth you talked about adding 500 doors, but between now and '25? And then I guess on the financial side, to Ravi's question, what changed from targeting flat OR to up 400 basis points? I mean, you gave mid quarter updates. I am just wondering, on that cost side to the permanency question, he is asking, what changed from your point of view aside from -- bankruptcy, which you knew by that point, just to see the sustainability of those costs. Thanks.
Matt Beasley: Good morning, Ken. This is Matt. So maybe I will start with your last part of your question then I will turn it over to Seth to cover the first part. Certainly, we saw continued momentum through the quarter. And so you could see that in how we talked about it. So when we were talking on the call in July, we were talking about being able to target a flat OR, even after the impacts of the new contract. Then we roll forward to the update that we provided in August. And that's when we are really starting to see the impact of the cost and efficiency measures that we had put in place, certainly the market impacts are really starting to be felt. And so at that point in time, when we were saying that we thought we could not only, overcome those increased costs, but actually should be able to show some modest improvement in the OR and certainly that momentum just continue to carry into September. And so that's ultimately what resulted in the ability to be able to improve it by 400 basis points sequentially. And then, I'd say that kind of progression really spells out and plus in conjunction with the GRI that was put in early in October for us to continue that momentum into the fourth quarter, which is why we said that we think we can see potentially decrease sequentially into the fourth quarter as well. And then I'll turn it over to Seth to cover the first part.
Seth Runser: Yes. So when I think about excess capacity in the market, it really comes down to four different things. The first is people and we feel pretty good that we're properly staffed for our current business levels and we continue to replace attrition in strategic locations, we have a good line of sight on our growth pipeline and we feel like we can bring on labor much easier and quicker than we did throughout the pandemic, which is a good thing. So feel pretty good about people. On the equipment front, we continue to invest in the fleet like we have for many years. We have one of the newest fleets on the road. Our fleet slightly bigger and we're working on getting some of those higher cost units out now, but we could pivot for growth, but I really don't see any concerns on equipment capacity for growth. The third real estate, we've been working on our long term real estate plan for the past two or three years. You need to be positioned well ahead of the cycle from a real estate perspective, and we have a mature network, and we believe we're positioned well in those key markets. This year alone, we've opened up a new facility in Campbell, Pennsylvania. We expand our San Antonio site. We moved into a new Phoenix facility. So we're doing a lot of things on the real estate front. So we feel good about where we are there as well and we got more coming next year as well. And then the fourth really is productivity. So the more productive you are, the more freight you can handle for the same cost. So in my opening comments, I talked about the transformation at ABF and how we're really focused on technology and optimization to ensure that we're as efficient as possible. So we've completed a lot of initiatives, but we have a lot more still to do. So with all that said, the investments in network visibility and our optimization tool set, we have capacity for growth and we can flex that up or down based on what the markets do and what opportunities we see in front of us.
Ken Hoexter: If I can squeeze in a follow-up to that, real quick, the tech investments are still broken out as one timers, it seems like those are continuous and ongoing. Should that just be part of ongoing business at some point?
Judy McReynolds: Well, Ken, I think we spoke to that in 8-K with respect to ABF. And to what we're seeing there is as we've moved the team back to conventional operation in Kansas City and in Salt Lake City and we've previously done that in Indianapolis. You will as you go forward, it will be all in regular operations because we're no longer piloting in those other areas. We do continue to have, our innovations costs broken out and continue that same treatment where we're piloting for new customers with Vaux. We're doing some things there that are very new and innovative and with our customers just gaining some momentum in pilot type environments. And so, we're continuing that cost, but at the same time, we're really excited about the prospects for a new revenue stream, from that business and look forward to telling you more about that as we enter into 2024.
Operator: Our next question comes from Scott Group with Wolfe Research. Please proceed.
Scott Group: So I want to just ask on the OR commentary around Q4. So back to Ken's point, so you said modest improvement in Q3, you ended up with 400 basis points of improvement. You're saying modest again. What's the right range to be thinking about, when you talk about modest sequential improvement? I just want to see if you have any a finer point around that.
Seth Runser: Yes, thanks, Scott. I would say, we were very pleased with the performance in the third quarter, like I mentioned, we're carrying that momentum into fourth. We didn't really guide to a specific range, but as I say, we think about modest now we probably think of it in the context of maybe a 100 potentially up to 200 basis point improvement, something in that range.
Scott Group: And then, when I -- the pricing renewals improved from 3% to 4%, I think we're all trying to figure out like how big of a deal is this Yellow bankruptcy? How much is the market really changing? Does 4% feel like that's the right number? Is that a number that you'd expect to accelerate further as you get into Q4 in 2024? What's the pricing strategy right now?
Christopher Adkins: Sure. Hey, Scott, it's Christopher. So really from the third quarter benefit from the disruption was really a mix impact of handling improving the mix of getting more core business which tends to be more profitable business for us and it's more profitable for many reasons, price is one of those, but also productivity and efficiency, there's improvement, there are opportunities there for us to do to handle that efficiently. In the 4%, really we think our core business is at a really good place and we want to maintain that long-term and we want to be offering fair prices to our customers for the service that we're providing. So, we're really trying to overcome inflation through pricing and through efficiency gains. So, I don't know that you'll necessarily see acceleration there in our core business, but we are always optimizing the mix to get the right mix to get the best off income result.
Operator: Our next question comes from Jack Atkins with Stephens. Please proceed.
Jack Atkins: I guess, I just would like to maybe double click a little bit on some of the actions in the third quarter and it's very encouraging to see it flowing through to the bottom line. But I guess when you think about the improvements that you saw specifically on the purchase transportation side, Judy, both expenses, excuse me, rents and PT were improved pretty significantly sequentially. Can you maybe give us a couple of specific examples of actions you took there to improve those costs?
Judy McReynolds: Sure. I'm going to let Seth answer that question.
Seth Runser: Yes. I would say on the City Cartage side, that's where our drivers are going out and delivering freight every day, pickup and delivery type drivers. Christopher mentioned that shift in mix and that more consistent published core business gave us greater productivity, but I'll also point to some of the technology that we've used, which is city route optimization, which Judy mentioned in her opening comments. We've seen a pretty material return from that using AI machine learning, a lot of our internal tech to optimize those drivers going out full and also coming back. We still have two more phases of that coming. So really when you think about cartage, the more productive you are, the more you can reduce that external cost and that's going to provide a better service to our customers by getting an ABF driver delivering and picking up their freight. So we expect that to continue, as we move through the fourth quarter and into the future because we know it is a better option on cost. As far as, just PET over the road, we have a lot of our own drivers where we were able to swap that. But when we look at the mix of business that we were handling in that shift in core that really changed some of the lanes it was moving. So, we were able to optimize the way our road drivers move as well with some of those network visibility tools that I mentioned. So we expect those cost actions to continue throughout the fourth quarter just to how we continue to transform the way we operate.
Jack Atkins: Okay. That's really encouraging to see. And I guess maybe shifting gears and asking about the asset-light segment for a moment. I know there have been a lot of changes there over the last couple of years, through the acquisition of MoLo. But I think the fact that you guys are generating an operating loss there, and I would imagine that's probably continues into the fourth quarter. I mean, at what point do we start seeing some more cost out taking place there in an effort to flex down the cost structure? Typically, you think about these Asset-Light businesses having a pretty variable cost structure, and I am just sort of curious, should we see -- are there options to maybe take some additional costs out there, just given how challenging the business backdrop is?
Steven Leonard: For us, on asset-light, I mean, what we are seeing right now is customers are really seeing what we do in the asset-light space is bringing a lot of value to their supply chain, and the market is such that prices are down obviously. And so we are not immune to that. But at the same time, we want to keep a structure in place that allows us to capitalize when the market turns. So our view on that is we are just trying to strike the right balance. We obviously look for ways to improve efficiency and at times reduce cost. But at the same we want to be balanced in what we do there so that we can be responsive when the market improves. And so that's how we think about it and we will continue to manage it that way as we go into the rest of the quarter and then into next year.
Jack Atkins: Okay. Thank you for that.
Judy McReynolds: I think the customer side of that is, just their truckload is a very sought after solution by our customers, and it just works well within our integrated solution set. And so, we want to stay well-positioned as Steven said.
Operator: Our next question comes from Chris Wetherbee with Citigroup. Please proceed.
Chris Wetherbee: One thing to ask quickly on sort of the approach to pricing. So, I guess prior to the Yellow bankruptcy, there was a little bit more work being done in the transactional part of the business. And I guess I am curious as you think about the path forward, how much transactional activity is going to occur relative to your sort of core book of contractual business? So, we have seen shipments come down. It seems like there is a mixed profile change that's occurring. But at the same time, the transactional market probably has improved quite a bit sequentially. So just want to get a sense of how you think about that approach going forward?
Christopher Adkins: This is Christopher. So I would say it largely depends. So it depends on our network, where our capacity is, where investments have been made. It depends on the market prices. It depends on the competitive landscape. All those factors play into that decision making process. And the good thing is we are making a decision on a daily basis. And so our operations, sales and yield teams are coordinating daily, regularly communicating to figure out what is the optimal mix in our network and that changes day-to-day and we are prepared and agile to respond to the needs of the customer.
Chris Wetherbee: Okay. So I guess it's fair to suggest that if we see, if there were softness in the market last, we saw in the first half of the year that maybe you'd have a slightly different approach to the way that you try to manage it. I think there was a desire to sort of add some volume in a pretty challenging market. Would that still be the approach that you think about or it would be more price dependent this time around?
Christopher Adkins: Yes. So, I think it all depends, like I said, on the marketplace. But I'd say, from the third quarter, like Seth has already talked about, we did reduce a lot of those variable costs with cartage, rental and different variable costs that we've done. So we will continuously monitor that and make sure that transaction business is covering any additional variable costs that we're bringing on.
Chris Wetherbee: And just one quick follow-up on the cost side. Just how do you think about headcount going forward? Do you guys have sort of what you need? Do you think that there's potential efficiencies here? Or just your general comments about headcount going forward would be great.
Christopher Adkins: Yes. I would say we continue to hire in strategic markets where we see growth opportunities as we want to provide great service to our customers. When you look at our turnover and attrition stats, they're some of the lowest in the industry. So that's a great thing. Our people stay around for a long time, which is great for our customers and our people. But this is really a location by location decision that we make based on the opportunities that we see in front of us. So throughout the pandemic, the last 2.5 years, it was more challenging to bring in labor, but we've seen that soften quite a bit. So, we have a good pipeline of labor that we kind of have sitting on the sidelines, so we're positioned and ready to go. But we're constantly looking at daily, almost like Christopher talked about with our mix decisions and business that we bring in. So with those network visibility tools, I talked about earlier, we know where we need labor and we know six months in advance where we need labor. So that gives us a lot of tools to say, let's make a decision now for what we see coming in the future and that's different from what we've had in the past.
Operator: Our next question comes from Tom Wadewitz with UBS. Please proceed.
Tom Wadewitz: I wanted to see if you could offer some thoughts on just kind of underlying freight trends. I think both on the LTL side and then also, it seems like in the Asset-Light business, you're seeing a bit of further deterioration in volume in October. And so, I don't know if you think that's just market getting weaker or if that's a function of any change in an approach. So, yes, some thoughts on market trends.
Matt Beasley: So, I mean, I'd say that the overall backdrop is one that we've seen the manufacturing sector, it's been in decline. We've seen that decline, I guess lessened a little bit in the latest report. We feel like that the destocking cycle is coming to an end. And so you still see a little bit of that softness, and so I'd say we see the potential for that to become a catalyst. Certainly, we've had very specific market catalyst in the LTL space as it relates to capacity that had been a tailwind there. But I think if we move forward, we see some recovery in the manufacturing sector. We see a move towards restocking, then those could be additional tailwinds just more broadly across the business.
Tom Wadewitz: What about on the Asset-Light side and in truckload? It seems like that's the trend in that spend seems to be getting a little bit worse looking at the October shipments?
Matt Beasley: Yes. I mean, Steven can talk to it a little bit more. I'd say overall we've been seeing increases in market share and increases in shipments, but we certainly remain focused on profitability. Maybe Steven can talk about what that's looking like in October.
Steven Leonard: Yes. Some of that is just a function of us making sure that we're disciplined around price and that we're getting value for the services we provide. But there's still tremendous opportunity there. We're seeing lots of opportunities. We're just being careful about how we think about bringing on new business. So, that's reflected a little bit in what we're seeing in October, but still see lots of opportunity for growth and that's what we're focused on.
Tom Wadewitz: And just one quick follow-up on price. I think, how long does it take you to kind of get through the book such that the stronger pricing environment would be fully reflected? It seems like you're showing a little bit of further momentum on price in October. I know you got the GRI, but how do you think about kind of the timing where that we might see further acceleration in price in the asset in the LTL business?
Christopher Adkins: Sure. So, the way I think about it, this is Christopher, is that a large portion of our business that is in the core business is subject to our annual contract negotiations. So, as you think about that, those agreements are typically good for one year for 12 months. So, we'll work through around a quarter of that business each quarter, if that makes sense.
Tom Wadewitz: So, you potentially could continue to see accelerating price for a couple more quarters?
Christopher Adkins: Sure. Yes, I think that's fair. Prices will always be increasing as our costs go up the cost of doing business goes up. So, yes, I would expect that to continue.
Operator: Our next question comes from Jordan Alliger with Goldman Sachs. Please proceed.
Jordan Alliger: So, I wonder if you could discuss sort of freight redistribution. What I mean is do you think you could see some additional share opportunities in the quarters ahead perhaps some of your peers or competitors out there maybe took on too much, perhaps struggling with service. I mean, does that pose opportunity for you?
Christopher Adkins: Sure. Yes. I think that definitely does pose an opportunity. I don't know that I'm seeing a big issue with service in the marketplace necessarily. I think the freight has landed with the carriers that it will immediately following the disruption. Now shippers and carriers are working through each of those deals to make sure. The carriers are making sure that business fits in their network well and is priced appropriately and the shippers are making sure that they're getting the service and the price that makes sense for their business. But I think that's a case by case basis that shippers and carriers will continue to work to make sure that they have the right relationships. We're also seeing there is an interest in diversifying the carrier portfolio of shippers, which I think positions us really well with our managed solutions that we're not just an asset-based player. If they have issues with sole sourcing with one carrier, that leads really well into our managed solutions hands.
Jordan Alliger: And then just a follow-up just on like freight characteristics mix, obviously, weight per shipment right now is impacted by certain factors as you transition your business to this core LTL. Can you maybe talk a little bit about weight per shipment trends as you look ahead into next year? Does that start to normalize or rebalance?
Steven Leonard: Yes. That's a good question. I do think that there are just some dynamics. Like Christopher said, on the dynamic side, we definitely target, freight based on certain characteristics and how it works best from a profitability standpoint. So there has been a little bit of an impact all the way just as we transition a little bit in our mix. And then there's probably just a little bit of a broader macro backdrop. Again, there has been a little bit of weakening in manufacturing and we have been going through the destocking that probably, contributes just broadly to some overall declines on late. Chris, I don't know if there would be anything else that you would add on those drivers?
Christopher Adkins: On that dynamic business, we have talked about it tends to be larger heavier freight and says your mix changes that transition from the heavier stuff to the lighter core stuff will have an impact on our weight per shipment pulling it down.
Operator: Our next question comes from Jeff Kauffman with Vertical Research Partners. Please proceed.
Jeff Kauffman: Thank you very much, and congratulations on a very solid quarter. A couple questions. Just one clarification on the Tom Wadewitz’s question. I think what Tom was going after was, the trend in July, August, September in the asset-light business was shipments per day up about 3% to 4%, and suddenly in October that drops to down 6%. And the answer was, destocking sending, so things are getting better, but it doesn't seem to explain that big drop from September to October. So I guess I was just wondering, because that surprised me a little bit. Is this a function of the restructuring that you were doing on the asset-light side? So, this is really go forward rate? Is October a bit of an anomaly, and we probably shouldn't read that way on fourth quarter? Or was there a material step down in the asset-light market that caused October to be what it was?
Steven Leonard: I mean, again, for us, I don't know that I would read too much into it in terms of maybe where we are headed in future quarters. We still see a tremendous opportunity. We are connecting well with customers. The service resonates well. And so we see opportunities to continue to grow. But at the same time, we feel like we are at the near the bottom or at the bottom of the kind of pricing market. And so, we are being careful about what we are doing in bids and that type of thing. And I think you could see that kind of show up in October. But we feel like that's going to turn. It is going to come back and we will be in a better opportunity to grow and add volume. So I don't see that as a trend that will continue. But we have got to work within the given market. And so that's kind of how we are thinking about it going forward. We have also continued to see growth in the other areas in asset-light. We are seeing managed and in some of our other services. We are starting to add more volume at a higher rate. So, there is some good things going on across asset-light. But again, for me, I want to make sure that we are just making good decisions about price and how we think about the business that we are bringing on and you can see a little bit of that in October.
Judy McReynolds: One thing to take note of is the managed part of that that you are talking about, we don't reflect that in the shipment account that's disclosed. And there is momentum there and we reference it. We do that just for clarity around the shipment level. So primarily what you are seeing, when you see that statistic is truckload and to some extent, the expedite trends, which right now are very challenging. And the point that I think Steven is making is that, we are a little bit more focused on making sure that these customers that we are doing business with over the little bit longer-term here are right for us. We are right for them. And there is value in the relationship. And that doesn't speak to the opportunity being less at all because we have robust opportunities across all of our solutions, and we're excited about that.
Jeff Kauffman: Judy, thank you and that gives me a lot more clarity so appreciate that. Just one follow-up on Asset-Light and then one quick question on Asset-Based. So the OR, as we measure it, and I know we can argue whether that's the best way to look at this or not, is down about 45-ish basis points year-on-year and about 300 of that is explained with the purchase transportation going from 84% to 87% of revenue. What's causing that other 150 basis points because as much as Asset-Based was a great positive surprise in the quarter, I think asset Asset-Light was a bit of a disappointment. Is it because expedited is down and you do have overhead costs associated with that? What would explain that 150-ish basis point decline, not related to purchase transportation?
Judy McReynolds: Well, I mean, I think that what we're doing is, as Steven said, just continuing to have investments in people and resources to serve that growth opportunity. And I think just as you look at the overall result, you see that. Now I'll say this, we've addressed that to some extent with some of the facility decisions that we've made and you see the impact of those. And we're continuing to look for other ways to be more efficient. One thing we haven't talked about yet on this call is just a focus on the small and medium sized business segment. We see a real opportunity there for both growth and improved margins in Asset-Light and we're working on that that will be an impact in 2024, perhaps in the second half of it, but something that's in our line of sight.
Jeff Kauffman: And then last follow-up. I know you were talking about the 500 doors by 2025 and there's a big real estate opportunity with some of these Yellow properties that are coming to market. As we're thinking about capital spending for 2024, I know you mentioned that there was I think it was 60 million of catch up from '22 that was in this year's number. Could we probably see a little more spend on real estate as opposed to operating equipment in '24 and I know you haven't come out with the '24 CapEx, but as we're thinking about modeling. Could we see kind of a pull back to the mid-200s, normally, but maybe something closer to this year if we add in real estate potential for next year?
Steven Leonard: Yes. So Jeff, certainly, I think there will be, over the coming months, opportunities on the real estate side in the LTL space. I'd say just generally, our 2024 plan and thoughts on capital are still coming together and probably too early to give an overall picture of that at this point.
Operator: Our next question comes from Stephanie Moore with Jefferies. Please proceed.
Stephanie Moore: So, I think you guys do a really good job of kind of managing your shipments throughout the cycle. You obviously talk a lot about the usage of dynamic LTL freight. Can you talk maybe about what you're thinking regarding a normalized shipment per day? And then, do you think 3Q represents kind of an optimal mix for you guys? Or do you think there's more to do here, given the disruption in the market?
Christopher Adkins: Yes, Stephanie, this is Christopher. I'll start. I think I'll reference the maybe near-term. I think Seth had some longer term plans he could speak to. But on the near-term, right now, we're targeting around 20,500 shipments per day on a daily basis, but that varies, like again, day-to-day, week-to-week based on the opportunities that are in our pipeline and what the current capacity situation is. Seth, did you want to speak to the long-term?
Seth Runser: Yes. I would just say we're constantly trying to optimize our mix, but also leave potential for growth. So we're open to that growth, and we're investing in that growth. When you think about the people, the facilities we talked about, the efficiency measures that we've taken, that's really all to position us for long-term growth. So, we feel like we'll continue to do that as long as opportunities are there and profitable for us.
Stephanie Moore: And maybe just as a follow-up and kind of taking a step back here, it does seem that this quarter demonstrates you guys really kind of firing on all cylinders, whether it's the mix, you have, with pricing coming in, you've noted, obviously, you already have this mature terminal network. And then kind of the last point, we clearly can see that a lot of these productivity actions are kind of coming through very nicely, while I think we all can agree it's still a pretty weak freight environment. So, all those things considered, do you think you can deliver kind of a sustainable eight handle OR going forward just based on all these factors?
Judy McReynolds: Yes. I mean, Stephanie, I think that's certainly what we're targeting. I think one of the things that’s interesting about this environment is that if you look at the underlying macro weakness, you can compare it back to some pretty rough periods. We hear comparisons back to '09, maybe even in the spring of 2020. And we can see that through some of the other solutions as well as the asset-based solution. But the unique and really helpful opportunity that we have is to address this disruption with our customers that resulted from the Yellow bankruptcy and other things that have gone on in the marketplace. And, so I feel like that it's not only dealing with the macro weakness, but seizing on an opportunity to help our customers navigate this disruption. And we've highlighted in some of our prepared comments, but I really want to highlight this for you, it's just the ability to say yes to a customer and it might be business that runs through the asset-based network, but it could also be a better fit for managed that runs with other LTL carrier partners or truckload optimization work that we're doing. And it's just a good model in a period of disruption, which seems to be happening a lot more often. So, if we navigate all of that well, we're in the 80s in an environment like that. We know we have a lot of other innovations and tech opportunities for improvement. I'm excited about our future and we're very focused on getting even better. And I just want you to hopefully see that with the execution of our team in this quarter.
David Humphrey: Frank, I think we've got time for one more question.
Operator: Our next question comes from Bruce Chan with Stifel. Please proceed.
Andrew Cox: Hey, good morning team. This is Andrew Cox on for Bruce. Thanks for taking my questions. Just wanted to ask about how you guys are thinking about the portfolio of businesses and services? What still might be missing from the portfolio and where do you guys see opportunities to add services or breadth? And should we expect the current revenue mix between asset and asset-light to hold for the next few years? Or are you expecting some sort of change? Thank you.
Dennis Anderson: Hey, Andrew, this is Dennis. Great question. We really like the mix of capabilities that we have right now. I mean, I think we have talked in previous quarters about and talked on this call about our managed business and really leaning into that. We expect growth out of truckload and certainly, growth out of asset base as well. So, we like the mix that we bring to customers today. And certainly, investment in those areas are where we are focused, and then your other question about how we should expect the mix to evolve over time, we expect that mix really over a long period of time to look more like our customers spend. And so when you think about the size of these markets and how customers spend on freight and transportation, we expect that, we are going to continue to grow the mix toward that asset-light business even as asset-based grows. So, that's what I would say about. We are happy about the capability set we have. And then, we expect on a long trajectory really to start looking more and more like the market spend.
David Humphrey: Well, thank you. I think this concludes our call. We appreciate you joining us. Thank you very much.
Operator: That does conclude the conference call for today. We thank you for your participation and ask that you please disconnect your line. Have a great day, everyone.